Operator: Good afternoon. My name is Lisa and I will be your conference operator today. At this time, I would like to welcome everyone to the Las Vegas Sands Corporation Fourth Quarter 2014 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] Thank you, Daniel Briggs. Sir, you may begin your conference.
Daniel Briggs: Thank you, Lisa. Before I turn the call over to Mr. Adelson, please let me remind you that today’s conference call will contain forward-looking statements that we are making under the Safe Harbor provisions of Federal Securities Laws. The company’s actual results could differ materially from the anticipated results in those forward-looking statements. Please see today’s press release under the caption forward-looking statements for a discussion of risks that may affect our results. In addition, we may discuss adjusted net income and hold-normalized adjusted net income, adjusted diluted earnings per share and hold-normalized adjusted diluted earnings per share and adjusted property EBITDA and hold-normalized adjusted property EBITDA, all of which are non-GAAP measures. A definition and a reconciliation of each of these measures to the most comparable GAAP financial measures are included in the press release. Please note that this presentation is being recorded. We also want to inform you that we have posted supplementary earnings slides on our Investor Relations website for your use. We may refer to those slides during the Q&A portion of the call. Finally, for those who would like to participate in the question-and-answer session, we ask that you please limit yourself to one question and one follow-up question, so we might allow everyone with interest to participate. With that, let me please introduce our Chairman, Sheldon Adelson.
Sheldon Adelson: Thank you, Dan. Good afternoon everybody and thank you for joining us today. I am pleased to report that we continue to execute our strategic objectives during the quarter. Despite some obvious challenges in the Macao market, we delivered a strong set of financial results, with companywide adjusted property EBITDA reaching $1.35 billion U.S. dollars, a 11% higher than prior year in a fourth quarter record. Did I hear anybody talk about things slowing down? At the same time we continue to return excess capital to shareholders. It also gives me great pleasure to report to shareholders that 10 years after we listed as a public company, we achieved an all time fiscal year record of $5.42 billion U.S. dollars in adjusted property EBITDA, a metric that surely sets a new benchmark for our industry. The foundation of our success is having the right strategy at the outset. Today, I am as confident as to I have ever been in a long-term prospects for our company. Before I go through the highlights for the quarter, allow me to highlight a few packs that support our Company’s unique strategic position. Slide one, mainly in Chinese visitation to Macao is accelerating. Visitation for from Mainland China reached 21.2 million visitors, in 2014 an increase of 14%. Mainly in Chinese visitors from outside the neighboring Guangdong province, increased more than 17% for the year. Mainland Chinese visitors to Macau were up over 20% and both October and November while non-Guangdong, Mainland Chinese visitation was up 28% in October and just under 30% in November. Slide 2, these are the visitors from outside Guangdong Province have traveled to reach Macao and need hotel rooms when they arrive. We spent over $10 billion in investment to cater to these visitors. That investment includes 9,300 sleeping rooms, which is 56% of the total inventory of hotel rooms developed by concessionaires or sub-concessionaires in Macao.
Daniel Briggs: What time is the call?
Sheldon Adelson: Pardon me.
Daniel Briggs: Operator this is someone on our lines.
Operator: No sir.
Sheldon Adelson: Okay and with the completion of the Parisian and the St. Regis Tower at Sands Cotai Central, we will have invested an excess of $13 billion U.S. dollars. An investment that reflects our unrivaled commitment to Macao's diversification, and to its future success as the world’s leading business and leisure tours in destinations. Upon completion of the Parisian, our sleeping room supply will increase to nearly 13,000 rooms, which will represent approximately 45% of the total sleeping room inventory built by us and our competitors in Macao. And that’s after five new competitors put up new property. Five of our competitors, put up new properties. Macao’s retail business is developing into a world-class shopping destination. The investment that we have made in Macao includes over 1.4 million square feet of retail mall offerings on the Cotai Strip. I’m not talking about gross, I’m talking about net. In the states it's called YOA, but it should be NLA. That represents over 70% of the total retail mall developments in Macao. So we naturally generate far more retail sales Macao, than others. After the completion of the Parisian and additional retail expansion plans, we expect to virtually double our retail offerings in the years ahead. Slide 4. Our investments in Macao include the development and operation of over 1.5 million square feet of MICE, meetings, incentive, convention and exhibitions space, which is almost five times larger than the combined total MICE space of the other Macao operators, five times larger than the combined total MICE space. We will increase our MICE capacity to nearly two million square feet as Sands Cotai Central is completed. That will continue to represent approximately 75% in the MICE capacity that will exist at the end of Macao’s next date of development. The point here is that we made all these investments when others didn’t. Everything we have invested in Macao to date, the sleeping rooms, the retail shopping malls, the MICE space, the entertainment offerings and the Cotai Arena. And everything we will invest in the future is predicated on delivering on our promise to help Macao in its economic diversification and its evolution as the world’s leading business and leisure tours in destinations. One of our competitors said to me in 19 - sorry, 2007, said he was a going to build his building until he saw whether or not we were going to succeed or fail, that he don’t want to take the risk. And they didn’t start construction after we opened in 2007, they didn’t start construction on their property till 2011. And in terms of entertainment a show room which we also have is good. There is a good show in a City of Dreams - COD the City of Dreams. And it’s a very good show and they get good attendance. However, it doesn’t bring back repeat customers. Once they see a show which is good show, The Dancing Waters, they won’t come back a second time to see the show. Now, let’s compare our, arena a 15,000 seat arena. One week we can have an all martial arts exhibition, the next week we can have Selin Deon, the next week we can have a basketball game, the next week we can have a cultural event like a ballet or whatever. So the sort of unheralded arena is a major element to bringing back repeat customers. There’s enough diversity we had 54 events in the arena last year 2014. There’s enough diversity in the arena to bring somebody back repeatedly, just over one month. So the arena is - and we also have a show, an 1,800 seat show. This is natural as we are the pioneers and creators of the large scale, convention-based international resort. As a result, we have diversity product offering and the scale and critical mass to cater to every type of business and leisure visitor. This clearly positions just well for future long-term growth. But these attributes already allow us to out-earn our competitors. And I want to emphasize as we always have on the bottom line. Indeed the gap between our company and our peers has been widening for the first nine months of 2014. We had a 35% EBITDA share in a six-operator market in Macao, up from 32% for the same period in 2013. That is double, more than double of this year. And far in excess of our fair share of table capacity and gross gaming revenue. In Singapore, we have around 60% EBITDA share in a duopoly market, 50% more than the other guy. Not only are we unique and being licensed in the two largest gaming markets in Asia, but we are also by very wide margin the profit leader in both markets. Not only are we more profitable, revenue diversification means that, our earnings are more defensive and predictable and of higher quality. Today well over 80% of operating profit in both our Macao and Singapore operations comes from mass gaming and non-gaming segments, with less than 20% of profit coming from VIP gaming. Our non-gaming profits continue to grow in scale. Our combined retail mall operations in Asia achieved an operating profit just shy of US$0.05 billion dollars in 2014. That makes us one of the largest and most valuable mall developers and operators in the world. In addition to being more profitable and enjoying superior diversity of earnings, our integrated resort business model also allows us to contribute more meaningfully to the longer term economic success of our host jurisdictions. Something we are both eager and uniquely well positioned to replicate in new markets, tar more than what our competitors say that they will put up one of this and one of that, the one thing that is a gift that keeps giving beside the arena is MICE business. It's a feeder and a breeding ground for new tourism. Not withstanding the prevailing skepticism at the time. I made this strategic decision to pursue opportunities in both Macao and Singapore concurrently. As a result, I’m happy to say that the company today can simultaneously reinvest capital in existing operations and future projects. Growing generous dividends, pay dividends and continue with the judicious share buyback program. Now let me take it through some of the highlights of our results in Macau for the quarter and for the year 2014. For quarter four, Macau adjusted property EBITDA was $711 million U.S. dollars. Our mass and non-gaming revenue streams which comprised more than 80% of our departmental profit in Macau naturally make our business far more defensive than the Macau gaming market as a whole. It is also important to remember again, that our business in Macau for the year produced $3.3 billion in EBITDA, an increase of 12% over 2013. Again did somebody say things had slowdown? The important point is that our strategy remains unchanged. Our business will continue to be anchored around the mass market and the long-term structural growth of tourism from China and the wider Asian region. Even amidst all the headwinds in this quarter, we saw resilience and revenues in many of the core mass segments during the quarter. Our ETG revenues were up 20%. Our non-gaming revenues as a whole grew by 7%. Within which retail mall revenues expanded 10%. And in our most important segment, mass table games, base market segment revenues were down by only 2% year-on-year. Visitation of Macao remains strong. Hong Kong just announced its full year tourist numbers for 2014. Mainland Chinese visitations to Hong Kong grew by 16% year-on-year, to 47 million visitor arrivals. That is more than twice what Macao receives. In my view there really is no reason to doubt a long-term growth potential in Macao’s development as a tourism destination for China, especially as transportation infrastructure continues to improve over the next few years. Just look at what has happened in the past few years. The development of large scale resorts in Cotai fundamentally changed the profit composition of Macao. Macao’s VIP jump [ph] volumes in quarter four of 2014 are the lowest for any quarters since quarter four of 2010. In other words over the past four years, the VIP component of GGR has hardly grown. If I had told you that was going to happen four years ago, you probably would have predicted doom and gloom for the market. Yet what’s happen to our EBITDA over this period, it has more than doubled. It is more than doubled. The reason, the power of our mass gaming and non-gaming revenues has produced outstanding growth. We expect the market to continue to deliver growth in non-gaming and to naturally return the growth in mass gaming in the future. I’m proud of the fact that we produced more non-gaming revenue than the other five gaming operators combined. Again we produced more non-gaming revenues than the other five gaming operators combined. High margin non-gaming revenues increased by 18% to reach a record $1.6 billion U.S. dollars this year and our share of those Macao wide non-gaming revenue was over a 55% from first nine months of 2014. While it has become fashionable for everyone to talk about Macau’s diversification from gaming, we have consistently been delivering on all aspects of diversification over the past decade. In summary, let me mention again that we have made pioneering contributions to Macau’s diversification in MICE, retail, sleeping rooms, entertainment and employment opportunities from Macau’s resorts. We saw the opportunity for this significant contribution for the MICE industry to Macau and we invested greatly to contribute to its future success. In 2013, our facilities received 1.7 million MICE participants as we hosted 52 exhibitions and over 600 conferences and meetings. According to published government statistics, our total MICE attendance represented over 80% of the total MICE attendance in Macau for 2013. I believe what the future completion of the Hong Kong-Zhuhai-Macau bridge and the additional 3,000 hotel rooms at the Parisian, the MICE industry in Macau will develop even more successfully in the years to come. In retail our three retail malls generated US$2.5 billion of retail sales in 2014, up 12% year-on-year and more than three times what they were in 2010. To put this amazing statistic in context, in 2007 the total retail sales of Macau were less than US$1.8 billion. And we didn’t just build for the high and luxury brands. Although, we do have one of the most successful, if not the most successful luxury retail malls in the world at the four seasons as measured by sales per square foot. We built an interconnected retail destination of more than 600 shops that would appeal the visitors across the whole spectrum of spending purchase. In addition, our retail tenants collectively employ more than 6,000 people, comparable to the number of staff that the largest casino hotels in Macau Peninsula would employ. Our retail mall sales accounted for 42% of total retail sales in Macau in quarter three of 2014. In the retail categories in which our malls have a presence. But the rollout of more retail in Sands Cotai Central and a complimentary portfolio of tenants at the Parisian which is now 95% leased, we look forward to further supporting the growth of Macau’s retail industry as we drive more visitation by leveraging our unique portfolio of interconnected retail malls. Sleeping room inventory we discussed extensively a moment ago. Entertainment is another key differentiator. We have an ambitious events and entertainment strategy which uses our multiple performance venues including the Cotai Arena. We now have an established track record of bringing world-class entertainment events to Macao, including performances by The Rolling Stones, Rihanna, Justin Bieber, and Chan, as well as boxing events including world championship fights by Manny Pacquiao and Chinese Olympic champion and WBO fly weight world champion Zou Shiming. For our employees, the breadth and scale of our non-gaming operations offer numerous opportunities for training, promotions, and career development. In 2014, we conducted over 160,000 training hours for more than 22,000 employees. We promoted just under 2,500 employees, 90% of whom were Macao locals. As one of the largest employers in Macao, if not the largest, we take our responsibilities to the [indiscernible] very seriously. Our integrated resort business model gives our employees a multitude of career advancement opportunities and we’ll continue to encourage them to take advantage of what we have to offer. We have, unlike our competitors, built sort of a school within our property with several classrooms to teach and to encourage our employees to be able to learn enough to advance in their employment. I don't believe any of these unique competitive advantage can be matched by our competition. Even after the completion of the next phase of their developments. I have every confidence in our ability to continue to grow over the long-term. We have a still underpenetrated market. We have improving transportation infrastructure, and we, Las Vegas Sands and Sands China have a uniquely differentiated portfolio of properties and product offering in Macao. Now moving on to Marina Bay Sands in Singapore, we generated an all-time property record US$518 million of EBITDA in Marina Bay Sands during the quarter, while hold-normalized EBITDA was $461 million. Despite a 27% decline in rolling volumes, our whole normalized EBITDA was up by 35.1% including the property tax refund and up by 9% if we eliminate the benefit of that refund. I think this again demonstrates the quality and resilience of the cash flow generation in Marina Bay Sands. I'm extremely please to say that our strong financial results confirm that we have an outstanding business there. To quote Mark Twain, the rumors of Singapore's demice as a world-class resort destination are both premature and greatly exaggerated. [indiscernible] reached US$4.8 million, a 4% year-on-year, principally driven by our successful efforts and bringing in forward premium mass customers to Singapore. In addition, we have maintained a prudent reserve ratio during the quarter and we will continue to maintain the highest compliance standards in the industry, not only in Singapore, but locally. Marina Bay Sands continues to serve as the most important reference site for emerging jurisdictions that are considering large scale integrated resort developments. The iconic appeal of Marina Bay Sands has driven strong growth in visitation from residents of China Japan, Korea, the wider Asian region and around the world to Marina Bay Sands in Singapore. We remain focused on potential to opportunities in Japan, Korea, and Vietnam. We believe our unique convention-based integrated resort development model could bring meaningful benefits to these countries in terms of business and [indiscernible] tourism, employment, and economic growth. Before we address return of capital to shareholders, let me mention that after recent meeting agency upgrades, both S&P and Fitch now have an investment grade rating on Las Vegas Sands. We're happy to be recognized in this fashion and we intend to continue to follow the financial policies that contribute to their view of our financial strength. The confidence we have in the strength of our business and the reliability and predictability of our cash flows have allowed us to progressively increase the return of capital to shareholders. Ours remains a uniquely privileged business model. We continue to return significant amounts of capital to shareholders through dividends and share buybacks, while retaining more sufficient financial strength to pursue both organic growth and new development opportunities. Over the last three years to December 31, 2014, we have returned over $9.6 billion to our shareholders through dividends in stock buybacks. Including $8.1 billion to Las Vegas Sands shareholders and in Hong Kong dollars the equivalent of over $1.5 billion to the shareholders of Sands China. Also last year we increased the annual dividend for LVS shareholders by 42.9% for the 2014 calendar year, yay, dividends. For 2015, we previously - as previously announced the board of directors has increased the LVS dividend by 30% to $2.60 per year or $0.65 per quarter. The increase in the dividend will take place with the next quarterly dividend payment, which will be made on March 31, Yay, dividends. We have every intention when increasing the dividends in the years ahead as our business and cash flows continued to grow. In addition to dividend growth, we’ve returned $235 million of capital to all the shareholders this quarter to a stock buyback program. We have approximately $1.76 billion remaining under our current stock buyback authorization. We look forward to continuing to utilize the stock buyback program to return capital to shareholders on an opportunistic basis and advance long-term shareholder returns. In conclusion, we will continue to stay disciplined and execute our business plan. With the right strategy and the right management team in place, I'm more confident than ever about our future success. Now, before I turn the call over to the operator to begin the Q&A session, I wanted to thank take the opportunity to thank Ed Tracy for his contributions to the company and to Sands China. We wish him the very best as he returns to United States to focus on his health and family. As we conduct the search for a permanent President and Chief Operating Officer for Sands China, we have every confidence that we will continue to execute successfully. While continuing to support the Macao government and itself it’s to maximize Macao’s tourism opportunities to the development of additional non-gaming attractions and amenities. We remain deeply committed to both the future of Macao and a future success of the more than 28,000 Sands China team members are an important part of the Sands family. Now, let’s take questions.
Operator: [Operator Instructions] And your first question comes from the line of Joe Greff from J.P. Morgan.
Joe Greff: Good afternoon everybody. My question is just easier to call out Slide number 13, on your earnings slide presentation. What I'm surprised is in this presentation is that given the relative performance of the base mass, versus the premium mass then given the relative margin profile. And I know these are average table count numbers, but that the base mass table count shrunk sequentially and the premium mass table count, average count increased sequentially. And I guess why is that the case? Why are you trying to develop more table game capacity to the relatively more stable and higher margin business, and is that an opportunity? And then I have a quick follow-up related to Singapore.
Robert Goldstein: Hey Joe, it’s Rob, I’ll take that. Obviously this is the market flux, there is lot of tables in the market that are under utilized, at this point it’s an opportunity but the market with the junket business, flying so rapidly, and market were pretty masses in flux, I think its too early to tell where all these tables land. I don’t think there is huge opportunity at this point, because the vision we have so many tables in the market that a base mass, versus premium mass table isn’t a major issue from my perspective. The margins remain under pressure, I think, in Macao we’re still doing very well relative to the market, I think. And we have sufficient tables to move that often shows that most growth and most opportunity.
Joe Greff: Okay. And my follow-up related to Singapore. You were just under that five million mass table and slot per day metric a little bit ahead of what we were estimating for the quarter. What’s driving that, what geographies or what you are doing there for at least relative to our forecast a nice little up tick?
Robert Goldstein: Right, we recognized, we [indiscernible] few years ago the need to pursue a mass outside of Singapore. We've done that. We've executed well. The team there deserves a lot of respect for what they have accomplished. We still are south of $5 million [indiscernible] but I think the growth engine there is pretty massed outside of Singaporeans. We still have Singaporean business, but Indonesia, Malaysia, et cetera have been huge contributors to that growth and we are very proud, a short reference to earn $1.7 billion in that building. I remember years ago, we built that place peoples got that [ph] the notion of the $1 billion EBITDA, so now we’re $1.7 billion, a spectacular year for us. A little help at the end obviously with the tax issue, but we’re very happy with our growth there. As you, Chris, identified, the beauty of Singapore remains resides in the very powerful mass business, about $1.8 billion with the 63 % margin. Pretty strong results. No place like it with those kind of numbers. So the focus there remains mass, premium mass and doing the job correctly.
Joe Greff: Great, thanks Robert.
Sheldon Adelson: So, most profitable building in the world given bigger than the I think the growth building in New York.
Operator: And your next question comes from Jon Oh from CLSA.
Jon Oh: Hi, thanks for taking my question. If I can just start with may be your cost structure and also your margins, could you give us a sense of how much flexibility do you have as you think about your OpEx or your carrying cost in running both VIP and mass market in Macao today. And could give us a sense of how you’re hoping with some of the flexibilities around the cost as we see business volumes especially in VIP not at high perform. What do you think margins are right now in VIP given that some of the cost structures are perhaps a lot more fix, could you may be give us comments on that please?
Sheldon Adelson: Jon you’re referencing VIP junket or VIP premium mass, when you say VIP?
Jon Oh: Let’s talk about VIP junket first and maybe you can also touch in premium mass too that will be great.
Sheldon Adelson: Yes we haven’t changed a lot of VIP junket, what's changed is the volume. The margins in VIP remain pretty much tied to whole percentage and they didn’t not oscillate [ph] that much. The bigger move I think for the market, obviously is in the mass, premium mass aggregation, because whenever you have a decline in both base mass and premium mass as rapidly as you do in the fourth, clear margins, you can adjust quick enough on the payroll and the building cost, the operational cost of the building do not adjust that quickly. What does adjust is incentives and promotions against the customer. We continue to examine those costs. The labor issue is not what folks are now, we focus our incentives, our labor costs are not on the table at this point. What is on the table though is overhead general and the building entertainment also on the table is discussing our overhead corporately, as being as opportunity there. So we are charge with it’s been very clear the direction in this trials and that where charge is growing our business more efficiently, examining any all layers of cost, against the customer promotionally, against the cost to run the business overall and make sure being efficient. But this has been a sea change as you know a very short period of time. We’re still very pleased with our overall margin, but there’s room to improve a lot of different places. So we’re very focused on it. The team there will be looking at those issues very closely in the months ahead.
Jon Oh: Okay and I can follow-up very quickly again on capacity. I think you briefly mentioned earlier Rob that perhaps there’s some underutilized capacity in Macau today. As you assess to put in more capacity [indiscernible] in the market, do you think that there’s strength of capacity today and how does that change your perception on the perhaps the number of tables that you guys have requested for the Parisian? Do you still need the think number of tables going forward in order to do some of the ROIC hurdles given the assessment of how much capacity there is today?
Robert Goldstein: Well, George, keep in mind. This is the greatest game market in the world. And although, there has been a lot talking last three, four months about the changing dynamic of the market, we still earn more money there than any place by far. It doesn't even to compare to Las Vegas or it’s an extraordinary market even with the downturn we’re earning lots of money for table both mass premium mass. So the answer is yes. We do hope to double on our request for the tables of Parisian. We are not earning, I mean, we were doing as much as 13,000, 14,000 table, but there’s nothing on the $11,000, $12,000 a table still very, very flat, huge margin. So yes and yes, we want the tables and we’re hoping we can get them. I think Sheldon when he opened the conversation and talked about his achievements there, clearly, what we have done, while other people started to build the neighborhood, we’re in the neighborhood, we built it ten years ago. We built where I think the government respects to be the future of Macao. I think the decision was started back in 2005 when the Venetian began, being put together is coming full circle now. And so I believe based on that we had a darn good chance getting our fair share tables because we delivering the promise and then some. So yes, we want the tables and yes, we believe we deserve the tables, and yes, they're still very, very profitable. You earn more per table Macao by double than what you to gross in Las Vegas per table. So it’s a pretty astounding market even though it’s under pressured, this is still the best king market in the world. We want these over represented to the table dynamic.
Jon Oh: Excellent, thank you.
Robert Goldstein: Thanks, John.
Sheldon Adelson: Thanks, John.
Operator: And your next question comes from Shaun Kelley from Bank of America.
Shaun Kelley: Hi, good afternoon and thanks for taking my question. Bit of a higher level of question, but I guess as we look back at the fourth quarter, it seems like there were a lot of discussions around on broader policies FBA anti-corruption or anti-money laundering kind of in the market in Macao. And I’m just curious as a concession year and obviously, a huge player, there have you guys had any I guess more concrete discussions with either the Government Macao or the Government of China about sort of what at a high level, you think you are trying to accomplish with their message around diversifying the market just I think any color for that would be helpful as people are trying to adjust to a new normal.
Sheldon Adelson: This is Sheldon we are the leaders in the non-gaming direction development. The other guys say they are going to catch up to us. When you look at the fact that we do 80% of all the non-gaming income out of 35 Casinos in Macau, it’s clear the way, the ones that have set the pace on developing non-gaming amenities. And we think that our business model that is made of primarily of mice is the one business final that is a gift that keeps giving. The people come it’s a breeding ground for new tourism. So they’re using our business our accomplishments as a model for the other gaming operators to follow.
Shaun Kelley: Okay, thanks for that. And then…
Robert Goldstein: So other color we lead that just want to make sure you understand. We have the last number of years and currently agree with the direction of compliance, we embrace compliance, we think it’s the future of industry growth in Nevada, and Pennsylvania, and Singapore, and Macau. There is no reason to fight against it. So where we’ve not had conversation with government we simply wait for the direction of the government to follow accordingly. But we’re big believers in all I the things we’re doing in terms of the corruption issues and AML. And the new Macau is a little different, the old Macau, the story wonderful Macau.
Shaun Kelley: That’s helpful, thanks guys. And then I guess as a follow-up other big area we’ve got some questions on was the kind of election or choice not to pay special dividend at Sands China this quarter. So could you talk a little bit about that decision and then your, I guess, it sounds like you’re very committed to the recurring dividends at both the Sands China subsidiary and the parent, but how you might fund those between the different subsidiaries, just a little color on that would be useful. Thanks.
Sheldon Adelson: That one I read about that, I thought I was kind of curious. Special dividend is a special dividend a special dividend is not a regular repeat dividend. So when some body said why don’t you give me a regular repeat dividend? Another one in the form of the special dividend, I scratch my head. And I’m still scratching. I just think that suggestion is kind of silly. When there is an opportunity to pay special dividend, we lean more on the direction of regular dividends because that’s predictable and reliable with special dividends and not. So as far as we’re concerned we rather assure our investors including LVS that there’s going to be a reliable and predictable regular dividend. And if we do a special dividend for whatever reason that will be because for a special reason and it’s not going to be regular.
Robert Goldstein: Shaun, we actually added a page in the slide deck to specifically deal with that SCL is on Page 8 in that deck, which emphasize this [indiscernible] points that the recurring dividend is paid in two pieces we expect that to grow over time, and are committed to growing it over time. But and the special, it is special.
Shaun Kelley: Perfect. Thank you guys.
Operator: Next question comes from the line of Thomas Allen from Morgan Stanley.
Thomas Allen: Hi guys, can you give us an update on the competitive environment in Macao, both on the mass and VIP side. Thanks.
Robert Goldstein : Competitive environment, what’s happening competitively? So we see the environment there,
Sheldon Adelson: We can earn more money than anything.
Robert Goldstein : Okay, well answered. We think the environment obviously, Thomas, is changing, people are changing their priorities again we are very confident on our business model lends its self to this, it’s called the New Macao which is mass based, which is not game based, We believe we get a lot of money in Macao, will adjust our business plan accordingly. We are not seeing promotional cost being out of control what you are seeing is a downsize near the base mass and the premium mass business which of course will adversely impact margins. That’s a fact of any place Macao or any other. I don’t see operators losing their sense of balance or prioritization of how they spend the money, their margins will come down a bit though because there is less top line obviously, most probably at the top. But I don’t think we’re in a situation where it’s veering out of control, our operators being unrealistic or there’s panic in the streets of Macao, we have a reasonable quarter, we expect to keep earning well in Macao, a lot of disciplined, very smart people lots of capital in Macao. So at this point we see the environment that mimics the better half of the year, first half of the year, which was exceptional for all of us.
Thomas Allen: That’s helpful. And then just following-up on the previous question about capital returns, I find interesting that you talked about 1.7 billion stock last year, and you have a similar authorization today. Do you think there's a chance that you would [indiscernible] the share, and if you’re not returning, if you’re not doing the special dividend on Macao, are you, can you fund it out of and Singapore without having to raise debt? Thanks.
Sheldon Adelson: I didn't understand the question. He talked too fast. Do, Raphaelson you’re taking can you take it?
Ira Raphaelson: Yes, sure. Hi, I think where we’re on the buyback is I think it’s going to be something the board only determines, and the management determines over time, how would like to return capital opportunistically to the repurchase program, that will come as the quarter progresses. So I don’t know we can answer that question now. Without the special dividend could we fund that amounts without raising debt capital, it depends on our trajectory for the year. So I can’t really give you an answer because we’re not there yet. But you can look at our current capital structure or liquidity profile. And we have the needs to fund return of capital more aggressively, increase dividends or new development opportunities as we see said. So a lot of it depends on how the year progresses and use of management over time. But we’ve made no determination yet.
Thomas Allen: Helpful, thank you.
Operator: Your next question comes from Carlo Santarelli from Deutsche Bank.
Daniel Briggs: Carlo, that must be you.
Carlo Santarelli: Well, that was a good one. I actually forgot what I was going to ask after that introduction. But, it just a really quickly guys I know it’s not a huge issue for you guys, but wondering if you did anything differently in Las Vegas as it pertains to your room strategy notice occupancy was a little different than expected, which is necessarily surprising, but based on what we’ve seen from the Las Vegas Strip revPAR statistics it kind of stood out a little bit. Is there anything you know that that maybe we missed from a comp perspective or strategy change?
Sheldon Adelson: Not really. Can you give us an insight, what do you are talking, why are you…
Carlo Santarelli: Just the Las Vegas revPAR down 2.5% solid rate growth at plus 7, but the occupancy down almost 800 basis points.
Sheldon Adelson: No change in strategy, no change in complementary policy. Dan, may be you can give more color on that? I don’t have any color.
Carlo Santarelli: We think we have the opportunity probably in Las Vegas, we think we look at our competitors and passed of some other folks on our competitors said we can do better. We have some programs in place to grow our EBITDA here in Las Vegas. We continue to be a dominant player along with Wynn and Bellagio [indiscernible] side but we think we can do better. With all the 7,000 keys first year building we like to better both in room occupancy entry and continue to grow our game business as well. That having said, there’s been no change in strategy, no change in direction we remain pretty much constant onour approach.
Carlo Santarelli: Understood and then Rob, if I could, one followup, obviously there has been I think as of this morning I’ve read in article about some of the labor unions in Macao calling for a full smoking deck. Could you guys talk a little bit now having digested that for a little over three months, what you’ve seen, what kind of the experience has been and where, if any, you think it’s having a material impact if there is one?
Robert Goldstein: It’s not a positive, that’s sure. I can’t tell you the extent Carlo, because candidly knows how big smoking has been. There’s many factors in Macao that are changing currently. It’s hard to ascertain is it smoking, is it anti-corruption, it this a lot of factors in play here. Having said that, we remain behind government’s direction whatever maybe, we have recent being with the government about this smoking issue. They appear to be making their final decision. Whatever it is, it is. If it ends up being a being a ban or ends up being smoking rooms like the airport, we’ll abide by it and we’ll follow it. I don’t think - it’s obviously no markets are benefiting, no gain market anyone in the world, be it Europe or the U.S. is benefiting from a smoking ban. Having said that, we’re of the belief that Macao is a unique destination, unique to mainland China and Hong Kong. It will prosper in spite of smoking ban or smoking restriction. Is it better with smoking? Sure it is. Is it going to happen where smoking is restricted? Yes, we know that. The extent restriction we don’t know government advise. Whatever the government tells us to do we’ll comply happily.
Carlo Santarelli: That’s helpful, Rob. Thank you very much.
Operator: Your next question comes from Felicia Hendrix from Barclays.
Felicia Hendrix: Hi, thank you. Hopefully, you can hear me there is something wrong with my head set so I have to be on speaker. Is that okay?
Robert Goldstein: We can hear you Felicia.
Felicia Hendrix: Okay, great. Thank you. First question, Sheldon or for Patrick, just going back to the subject of capital return, I did notice that the regarding, I did notice that the blurb regarding dividends and the debt no longer has that comment about increasing the recurring dividend 10% annually. Certainly have a strong commitments to returning cash to shareholders and growing the dividends. I’m trying to understand the change in the language.
Sheldon Adelson: Probably whoever wrote it then think of this? There was nothing intentional about that.
Felicia Hendrix: Okay so you…
Sheldon Adelson: You want us to say we intend to grow at least 10%.
Robert Goldstein: 10% forever is impossible, 10% forever is impossible.
Sheldon Adelson: Well that also depicts how market…
Robert Goldstein: [Indiscernible]
Sheldon Adelson: We intend to continue dividends. It was nothing intentional if that wasn’t put in there.
Felicia Hendrix: Okay. Because I was just checking because you guys have been pretty clear for a while saying that you’re committed to growing 10%. So it sounds like that hasn’t changed.
Sheldon Adelson: That has not changed.
Felicia Hendrix: Okay. great. And then Rob, some of your comments underscore this point, you are a well known [indiscernible] on Macau, looking near term, it does seem the south side is forecasting Macau’s gaming revenue to decline in 2015 anywhere form high single-digits to low double-digits certainly it’s anybody’s best guess for sure. But I’m just wondering does that correlate with what your internal folks are projecting in it. So strategically how are you approaching this year particularly in the first half where most of the market declines are likely to occur.
Robert Goldstein: Thanks for calling me hover boy, I like that. We’ve seen this for also the market generated by a concentrated group of super-premium mass customers are relent somewhat and clearly that’s hurt the uber bull market. No question about that. I believe it will see a renewed growth in base mass business across the underlying positive drivers are so compelling with visitation growth, transportation and destruction improvements, unmatched inventory rooms, game mix, retail entertainment that speak to that mass segment. As simply stated, yes, we believe very much in this market it is still - people seem to forget what this market means relative to the rest of the world because the last three months, four months have been unsettling. But this is the greatest game market in the world and the LVS is in the perfect place to take advantage of the new Macao environment. Our assets are unique to this incredible market and I believe this time we’ll prove that the sustainable growth of our business Macao will be evident to all. We remain very focused on margins and focused on overhead. We look at all overhead, not just Macao but the company and look to grow this company's return to shareholders. So yes, we're very much a believer. Are we concerned what happened in the last three or four months, everyone is concerned of what happened in the junket space, the smoking issue. There's so many issues, it doesn't need to be repeated in the call conversant with those issues. But I think Sheldon a decade ago built the strategy that today is being talked about. He built the Venetian. He built 3,000 rooms. He built the MICE space. He built the retail space. Everybody else is building vertical buildings on the peninsula and Sheldon over a decade ago called the shot. And I think that shot is happening today from both the competitor and government perspective. We’re just ahead of the curve by a mere 10 years. So our business remains very steadfast as base mass resets and premium mass resets, we'll reset. Margins will return and we'll remain uber-bulls in Macao.
Felicia Hendrix: You increased your slot and ETG account combined by 5%. Is that just tweaking or is that like to read into that you’re gearing more towards the base mass?
RobertGoldstein: Now, we’re gearing towards - I guess the point is there is plenty of gaming capacity right now in Macao and we believe very strongly the size of our building, the size of our real estate enables us to grow. I am big believer of ETGs will be very, very - very happy place to be for next couple of years. We’ll keep growing that business. Slots have not been as bullish frankly, but love ETG business and we'll keep banging away at that, that’s a big advantage to us. When you sleep in our room, you pay us 120 bucks to sleep in the hotel, gamble little bit, go on to our retail shops, it's an amazing environment for us to survive, I was there a couple of weeks ago and despite all the talk [indiscernible] had it right. This is a great market we have to be there. We will keep drive ETG business, while it’s not growing business.
Felicia Hendrix: Great, thanks so much.
RobertGoldstein: Okay.
Operator: Next question comes from the line of Robin Farley from UBS.
Robin Farley: Great, thanks. I wanted to ask about - I was looking at the RevPAR decline, a slight decline at the Venetian Macao. And I wonder if you could talk to us a little bit about your room strategy kind of what percent of cash paying versus room comps and kind of how we should think about the hotel supply that’s going to be entering the market. I didn’t see in the release your slides an opening date for the Parisian. There’s no reference for the opening dates and I don’t if you can address that, as well. And I do have a follow-up question. Thanks.
Robert Goldstein: Okay. Rob, I'll take the Venetian Macao question. We're going through a change of thinking there how we use that product, obviously it’s the most desirable product when Cotai 3,000, keys et cetera. The cash we’ve always been very focused on a certain threshold gaming customer in the pretty mass, mass are revisiting that strategy as we move forward. We want to run a higher occupancy, because we firmly believe that the more people sleep in the Venetian, the more people shop at the Venetian, mall which we’ve owned, eat in our restaurant, of course gamble in our facility. So e think that asset has more growth potential to users who use more aggressively on the data base. And as Macao move towards, more base mass segment as opposed to junket, or as opposed to premium mass, that facility has got to rethink its room strategy in my opinion to get more out of the rooms. If the most desirable room comp there is in Cotai, the building continues to be huge driver of visitation, we think we’ve got to rethink and do better to drive more opportunity how the room side of our Venetian product. As for Parisian, Sheldon, do you want to address that issue? The Parisian…
Sheldon Adelson: The opening date,
Robert Goldstein: Opening days for the Parisian.
Sheldon Adelson: We don’t have an opening date yet. It will be sometime in 2016. The question also comes up as to whether or not there will be a partial opening, rooms and casino and some restaurants, and maybe entertainment. But there’s a new government that distanced on about a month ago. And I'm going over there this coming week to talk to the new government and find out what their intentions are vis-a-vis the components that we need to open such as construction labor and we're shuffling around our construction labor once we finish the St. Regis building we'll move some labor over to the Parisian. And we're also looking where we can pickup other delay other CapEx to existing properties so we could use those blue cards, the equivalent of U.S. green cards. It's something different. It's a temporary situation for current labor. We are going to make every effort to get it done as soon as possible. We don't have an exact date yet. I'll have more information on our next call. Do we have any firm distributable information in between, I'll put it out.
Felicia Hendrix: Okay.
Robert Goldstein: There are people looking for more labor. And the government wants us open because we’re the - we have the largest number of rooms. I said we have 58% of all the concessionaires rooms, that’s a very big number. And we don’t give out 100% of the rooms like our competitors do for the casino. We leave them open for people who come in for other purposes. And they want to increase tourism, they want MICE. And I'm going to point out it to them that we can't expand on those areas that they really want as opposed to the gaming, when everybody else - when we don't have enough labor. We do have the permits to complete all the property. And we're going to do our best to finish it as quickly as possible.
Felicia Hendrix: Okay, great. Thank you. For my follow-up question, I wonder if you could just give us a little bit of your thinking around you’re taking the CEO role at Sands China and kind of why not use it as an opportunity to strengthen the bench by having - I don't know if you look at internal and external candidates and kind of what led to that decision?
Robert Goldstein: Well, it's sort of an internal political issue. The CEO title has carried with it and a separation of Sands China from its major shareholder in the last several CEOs that we've had there. So rather than risk that happening again, I’m taking the title of CEO and I'll take the responsibility of the CEO and we'll have a President and COO. And I think listen, I haven't done too bad [Multiple Speakers] in the last two years - like a lot of shareholders I’ve done very well. If I'm doing as good as Rob said, I’m going to go to the board and ask for a raise.
Felicia Hendrix: Thanks for that perspective.
Sheldon Adelson: Thanks Rob.
Operator: And your next question comes from the line of Steven Kent from Goldman Sachs.
Steven Kent: Hi [Multiple Speakers]…
Sheldon Adelson: I read your report recently.
Steven Kent: Well, let me ask a question then, the $90 million tax rebate. I didn't have that in at all. Could you just explain that a little bit in Singapore, then also?
Robert Goldstein: We’ve been telling that for the last five years and Patrick when and there, and justified a return on that. And we got the $91 million back. So as we had to invenatize it, over the last five years, we took it in as income. Now you could invenatize the return of the income over the next five years, but we're not going to go backwards and restate earnings.
Steven Kent: Okay. So that was…
Ira Raphaelson: Even the $90 million amount is relates to five-year period, it would have a $0.09 impact on EPS in aftertax if we had to pull that out again. If it’s something that going forward we’ll have a slightly smaller income tax or property tax event, but it was over a five-year period, not a just
Steven Kent: Okay, it was a property tax issue it was not other type.
Ira Raphaelson: Correct.
Steven Kent: Okay and then the other thing is, and again only because capital allocation is so critical to your story on share buyback, I think, you noted you’re going be opportunistic and is that different from the $75 million per month. That you talked about, before it goes to sort of the other question about dividend and 10% increase every year, I think that’s what people are trying to figure out is are you becoming more or selective about some of these capital allocation issues, or is there some consistency here that may be you are missing in the comments.
Ira Raphaelson: I think, the one that are more selective are you guys, was - we’re not more selective about this. We’re not changing any strategy to put into the press release to put in my prepared remarks of the earnings call, whether we’re going to do 10% a year. Don’t look into that. If we are going to have a significant change of policy, we would disclose it. The fact that somebody else wrote it to pay attention to that issue, forget about that. Whether or not we’re not opportunistic, when this thought [ph] goes down far more it’s down a lot more than what we think it deserves. And this earnings report gives us a little bit of indication that we’re still doing well, can you imagine $5.44 billion, I know I said $5.42 billion and until this morning it’s $5.44 billion EBITDA. How many companies will do that? We’re certainly in the top 100 and if not in the world at least in the United States. And we’re very proud of making that kind of money. So trying to guess whether we're going to be opportunistic or we wake up one morning and somebody says the stock is down 5 points, maybe we ought to buyback two or three points [indiscernible]. Listen, all we know is I'm sending a message. You want to get my message. I haven't sold any stock. I got 432 million shares and I haven't sold one share of stock since 2006 when I did a secondary to create some diversification. I haven't sold any. I have no intention of selling any. And I believe in the long-term improvement of this company and we will one day, whether it's sooner or later, I can't tell you for sure, we hope it’s sooner that we're going to get additional emerging market opportunities. Nobody can go out there and present. The bona fide is that we can do. There is not a city in the world that doesn't want more MICE. Everybody wants MICE. I know one of our competitors - and was it a third phase, the galaxy, fourth phase, or fifth phase, or sixth phase, or seventh phase, or eighth phase or ninth phase or tenth phase, I don't know what city is going to put some MICE space in. But I’ve got 40 years of experience in the MICE industry. I sold my company in 1995 and the largest amount of money ever in the 1200 year history of agricultural and trade fairs. I sold my company for the largest amount of money. Nobody understands and knows the MICE market better than this company and we have a lot of people in this company that have been with me for over 20 years. There are people that work with me in the interface group when I had Comdex and other shows. So nobody can compete with us on that score. And what we've done in Macao, 80% of all the MICE business in Macao, the other guys are just making noise. We walked the…
Steven Kent: Okay, thanks very much. I got the message.
Robert Goldstein: Thanks, Steve.
Sheldon Adelson: I hope so. If not I will have stronger words tomorrow.
Steven Kent: I look forward to that Sheldon.
Operator: Next question comes from the line of Harry Curtis from Nomura.
Harry Curtis: Hi, guys.
Sheldon Adelson: What you said to Harry?
Harry Curtis: Well, I will continue. So Rob, you talk about the new Macao. And my question is given the various policy changes that we’ve seen come out of either Macao or Beijing, do you guys have any sense of whether or not the policy changes that Macao has had to really suffer through, is that it or do you have any sense that others are being considered?
Robert Goldstein: Harry, I think that's far beyond our ability to comment, the Government of Macao makes that decision, impossible to sit here and make a prediction about what may or may not happen. I mean I think six months ago, there is - some of things we’ve seen happen no one would have believed. So I think it's foolish to speculate and I won't do that.
Harry Curtis: In that case, the only other question that I had was just a clarification on the page 5 of the slide deck. Maybe, Dan, you can answer it. The hold-adjusted property EBITDA the 1.273 billion, is that before the 90 million tax adjustment and corporate?
Robert Goldstein: Yes.
Harry Curtis: Okay, just wanted to clarify. Thanks a lot.
Robert Goldstein: Okay.
Operator: Ladies and gentlemen, this does conclude today’s conference call. Thank you for your participation. You may now disconnect.